Ana Cabral Gardner: Hello, everyone. Good morning. I want to welcome you to the Second Quarter Presentation -- Earnings Presentation for Sigma. Without further ado, I'm going to go through these materials. We're very proud to present you the results that we just did, which means we're back on schedule, back on time, back on track as far as financial reporting. So, please kindly read the disclaimer. We're going to make a number of forward-looking statements here, and they're all in the disclaimer. This presentation is going to be available on site. So, here is, again, a video. A picture is a thousand words. We're going to close with a video that [indiscernible] is going to host for us, but here it is. [Technical Difficulty] Oops. Apologize. I have a bit of a technical issue here. Just let me just go back. So, as you can tell, we are very proud, very, very proud of what we've achieved. And, essentially, the operational video shows everything. The success -- the ramp-up has been a success. We've been steadily, as always, marching towards getting to our guidance of 130,000 tons for 2023. I want to remind all of you that this is not arithmetic, meaning, this is incremental steps. Remember in July, we were going at 50% and then we jumped up to 75%. We can go over 100% as we've shown. With [indiscernible] 150,000 tons, this year, [max] can go to 50 tons an hour. So, don't do arithmetic math, because once we feel that the dry stacking circuit is to our liking, and it is, and we'll show you a few more videos of that, because this is our mission, we're just going to ramp up this plant and get to a 130,000 this year by the end of December. The second shipment is going to be quite special, because we are starting -- I don't want to break the news, but we're starting to build what we call a zero-zero supply chain for lithium. In other words, there's a scenario where we're going to shift carbon negative material to a processor -- to a best-in-class processor, who in self is doing 6 tons of carbon per ton. We are doing zero. We were doing 0.25. And we're going to ship in the credits and we're going to deliver 00, meaning zero carbon [zero] (ph) chemicals, which is the holy grail of this industry. We're working with our best-in-class curator, and we're hoping to achieve the result very quickly. Now, we're also advancing detailed engineering for the extension towards final investment decision, which should be achieved by September. We have been working very, again, steadfastly to get back to the final investment decision. As we shared before, there's a scenario where we're going to build two additional plants, there is a scenario where we're going to build three additional plants to four-line trains, which means quite a lot. And then, we are going to be shortly, and, I mean, within a week or so, analyse our Phase 4. And remember, the purpose of what we're doing now is to bring as much material as much of this triple zero fantastic material to the supply chain as possible. Again, we continue to deliver on every front. I mean, we -- on export, we've been able to count with the partnership with Santander Brazil on the first Green ACE line, which is an advancement on export material -- produced material. As you can see, you got stockpiled everywhere, where the advances -- working capital for $10 million is the revolver. We've ended second quarter with C$45 million. We expect to recognize revenue, report positive operating profits already in Q3. And again, for those who were looking for the final numbers, we delivered Phase 1 construction on budget with $126 million CapEx disbursed and $8.1 million still remaining of all these fine-tuning [needs] (ph) that we're doing on the plant. On the operational update, here we go. Again, a video is a thousand word, and this -- a thousand words, and this one focuses on that circuit, the third one, meaning plant one, the crusher; plant two, dense medium separator; and then plant three, the dry stacker, which is the first in the world, and we have been hailed here in Brazil as a paradigm for all mining industry, which has been our objective when we started. So, here it is the dry stacker, but those who visited, and we are still fine-tuning, it's quite a challenging [Technical Difficulty] So, again, I took this video actually yesterday. I'm here on site, and you can see how beautiful. Here to the right is the beautiful dry stack. And why do we keep on focusing so much of it? Because that's -- those are the brains, right? Imagine a car. This dense medium separation plant is a Ferrari. We can accelerate it to -- the capacity of [recycling] (ph) is 200 tons an hour, but then if we need, as we showed, we can actually go faster, but we need to be able to track our rates, meaning, we need to be able to do it exactly as you have it on the pictures without any mud, any mess, beautiful, beautiful clean site. In the back, you see the dry stack stockpiles we've got. So we're going to be doing separate ships. So here it is. And I encourage all of you to physically come and visit us, right? So, again, production ramp-up meeting every milestone, as, we discussed before, we were on first shipment, done, second shipment, done. We're on the way to third shipment, and we're going to be sequencing them, basically, one after the next, increased in capacities. And with this focus of building this zero-zero carbon product to the clients that can. I mean, there are a lot of Western automakers and Eastern automakers who actually would like to see this triple zero -- and now double zero, because we're going to zero the chemical as well, working in partnership with a best-in-class trading company globally who's becoming an enabler of hopefully getting to a zero carbon or low carbon cathodes. This product is a commercial success. I mean, IRA and CBAM have increased our interest significantly. So, we shift the material to China with a defined end user. We've been working in partnership with the Chinese refiners, which are terrific. They're incredible. And so, the carmakers who have been procuring sustainable and responsibly sourced battery materials aligned with the expectations of their customers about this car have been -- working in close partnerships. We've been aligned with refineries that just like us have done quite a lot of homework on the heart to abate. So, they are best in class on their categories. As I said, they are at 5 to 6 tons per ton of hydroxide, which is quite low. And if we spend here with a deficit, we can actually offset the loss. So, we'll be zero at the end. And why? Because offset works when you have a company that's willing to work on scope line. And this is what our partners are doing. So, we've done 15,000 tons, it's already a fourth. We're now going to do the 30,000 tons of the by-products that you saw, parts that -- a fourth part being truck. So the upcoming shipment, and it will be a bit conservative 15,000 ton imminent, 30,000 tons of the by-product mid-month, and then 18,000 by the end of the month, perhaps more. Here is, again, a video, a thousand works -- a thousand words. Look, how beautiful this plant is [looking] (ph). So, you can see the material going through the plants, coming out, like, first phase, second phase. Those who know this is just stunning, right? And then here is the data. So I just showed you [a better] (ph) data, visually, it's easier to see, right? The quality of the material, again, it has been steady, which means the plant actually has been working. The DMS has been working really well. But as it is connected to the third plant, we call the dry stacker, it works officially as one circuit. We can't just turn one stockpile and turn off another. This is symbiotic twin, Siamese twins, they're connected. So, recoveries, which are on the left, which is lithium oxide grade, have always been pretty steady. In fairness, we actually recover above 6%. We have to bring it down to 5.5%. The feed, which is what goes into the first plant, which is the crusher, again, very steady. So, we're not playing games high grading. We're keeping the feed steady, which is the feed in the feasibility studies you saw. So feed steady, recovery steady, the system works. And then you can clearly see, like, the months, right, June when we were adjusting -- sorry. If you go back, June, when we were adjusting July, when started to hit the stride, and then in August, we're on stride. On stride. Next page, again, picture is a thousand words [Technical Difficulty] of the material, right? Here, this material, 6.5 millimeter to 9.5 millimeter clastic materials. So here it is. So those pictures I took [Technical Difficulty] I took those pictures inside the DMS this week. Here is the magnetic separator, which recovers the dense medium, meaning the first silica from the dense medium. So, here it is [Technical Difficulty]. We like all these videos because it's kind of a virtual tour, but again, I highly encourage you to look for our team and come see this, come live see this. We're always here. So, as we're saying before, we've achieved the successful commissioning and calibration of the dry stacking in August. And then, as I said, these are Siamese twins, right, plant two, plant three, DMS and dry stacker. So that just shows the strides of recovery, and the yield. And the left is yield. What is yield is what we get in concentrate per ton of ore. So this you can see the average yield of this plant, how are they working well. So it's kind of from the beginning, plant one to the end, the yield, the overall operationally yield, and then here you've got -- sorry, and here you got the -- oh, sorry, sorry, and here you got the recoveries. And so, the recoveries significantly increased. So with the optimization of the whole, we were able to stabilize the plan to a cadence. So, we're now hitting a cadence. And again, considering we started in April and we done this by August, so April, May, June, July, four months, beautiful. It's quite an accomplishment, and we should be very proud of ourselves. The team is incredibly proud here. And so are we. And so are we, because we've been working very hard for this to happen. Here is again, the wash, right, which actually becomes dry. This is our dry stack ultra fine. This is the first of its kind. Here is how it happened. So, you can see it's coming out, right? And then you go into a circuit where it dry stacked and you saw that end to end, the cake and the pile at the beginning of the video. So, this is our triple zero. We showed you the insides of the dense medium separation, and this is how and why it's zero hazardous chemicals, because we utilize dense medium to recover the lithium. Dense medium made of ferro-silica amongst other things. And that ferro-silica is restart -- is reused, right, and it's recovered back to the magnetic separator I showed you. So, this is how we achieved creating this beautiful product without using assets, without using hazardous harsh chemicals to the environment, right? And our recoveries are quite good. I mean, so no use to damage the environment at the expense of higher recoveries. We are cheating this with this amazing plot. In my hand here is a picture of the product. It's valuable. There's a bit of lithium here, 1.3% to 1.5%. The bit that doesn't get recovered because the dense media separation plant. So, we sell it for a value. Typically, it's about 10% of the value of the main product. That's kind of the ratio. Again, it was -- it's free. It was waste. So, it's clients paying us for waste management, and that's how we become zero tailings. The other parts of the tailings that we call coarse gravel, we utilize to cover and pave roads. So, we basically modify the green by-products in two ways by either selling it to be upcycled to become more lithium concentrate, or by monetizing, helping our communities build rural roads where they will gain access to the towns and to services like school, health during the wet season where they would become isolated because the roads would jam with mud and they will be stuck in their communities without access to health, education during the wet season. That's how serious it was. So, this paving with the coarse that we don't use, the coarse without lithium, coarse gravel, is essential for community well-being. And then the zero carbon. We've done a lot of work in abatement. We got to [0.26] (ph) tons of carbon per plant of lithium. We will have more slides on that later. But for those who don't remember, the average project in hard rock is 13 tons of carbon per ton of lithium. Lepidolite is 45 tons of carbon per ton of lithium. People already thinking, it's better to keep the diesel cars if you use lepidolite, because it's nonsense. And in the salars, best-in-class is 5 ton to a ton. So we're doing quite well here. Again, working with a best-in-class hard rock refiner to make lithium hydroxide hopefully zero. So, another question I got from all of you is these related party transactions, what are those? Well, it is very simple, it's surface. As we become operational in Phase 1, as we're ramping our Phases 2, 3 and 4, we actually created a surface-specific company with new properties. We had Miazga, which was legacy properties that were at Sigma before it went public. We had Arqueana with legacy properties that were at Sigma before it went public, because those are the initial companies. This is a specially created company that's run always by Sigma statutory officers. We have our former Chief Legal Officer, the former Chief Administrative Officer, and the objective is to have extra safeguard because the lithium value is booming to a point where there's been quite a lot of speculation on farmland. So, we decided to just buy it all. And that's what we did. We got a Board approved and TSX approved, stock exchange approved $12 million loan and leaseback, so it's a loan and lease back, so the value of this company is zero, because all the property is basically utilized as hard collateral and a mandatory leaseback. So debt and equity goes. So, if Sigma, once it calls back all the properties, so zero value, but an important vehicle for land acquisitions. So here, there's more material. I'm just going to change the books if you give me one second, as it's so heavy to file that I had to change the books. Okay. So here is the second book. Okay, here -- so just to make sure I got the right book, yes, second book. And this, again, I highly encourage you to read the disclaimers. We're going to talk about expansion. And overall -- this is the numbers portion, right? So the ability we have here to scale up organically is unmatched, unmatched. Remember, we had nine former producing mines, and we're methodically going one by one by one. So, we're now basically up 130,000 tons expected in to 2023, we repeated this, it's a typo, but it's going to be over 530,000 tons in 2024. And then Phase 4, there's potential to build a fourth line. So, we have Line 1, Line 2, Line 3, Line 4, because the idea -- the commercial success of the product is such with carmakers that we want to basically bring us much of it possible during this ramp between now and 2027, 2028 because no one's really producing this. Actually, very few majors -- very few parties are producing, just the majors and us, right? And I call Allkem and Pilbara majors too, right? So, we got like a very small group of producers of scale. So -- and we are the only ones doing this triple zero product, and the newcomers will just come kind of later in the decade, '28, '29, '30. So, we want to just bring in as much of this as possible now to take full advantage of this commercial success that it is our product. And here it is, again, I'm showing you again, we finalized FEL3. We're -- it's ongoing because you're looking at this -- we have one here. We're looking at putting 1, 2 and 3 together on that other side. We're kind of thinking about the configurations. Remember, we need altitude, the plateau is here, because [we're to] (ph) put the wrong pad. We're moving plants. These are plant waste piles. They're not basically here. So, we're replanning the waste piles. And we're fully funded by cash flow. We are also looking into an alliance with development banks for going further. Once we have these three plants, we're probably going to go a step further. The step that we can make first in the world, probably, technical grade carbon and lithium sulphate, we're debating, but it will be basic chemistry, right? Here is a live picture. So it just shows to the back here the extension where we have the areas. So, we can line them up in perpendicular to the current structure. So, this is what we're actually studying now, but, as you know, I mean, commissioning a plant in four months to the specs that we set out for ourselves, which were quite hard, in terms of dry stacking, getting these incredible recoveries with the dense media separation, we set the bar really high and sometimes we didn't realize how high it was. So, it took us all of our concerted effort. The entire team is focusing on this. And this takes quite a lot of bandwidth from the technical team. So, we're back on expansion. And here is the expansion sort of timetable expected. We are planning to release pretty much all of that around September, October. We're going to be ordering long lead items in October for sure. Earth works start immediately, because land is our, everything is ours, no vegetation to suppress, as you could see it's pasture. So very straightforward. And then, we start equipment delivery -- initiating equipment delivery around first quarter, end of first quarter. Now the beauty of what we've done for Brazil is that some of our larger suppliers is setting up factories here in Belo Horizonte. One of them is Metso Outotec and some of their recycling suppliers are also setting up factories here, which is enormous proud for us. So, we're bringing with us the industrial supply chain that supplies to our industry, our lithium factory, right? And so, we're planning to commission this by July. Again, we learned a lot in this commissioning and the initial production expected in Q3 next year. Here is growth. I mean, as you know, just don't forget, we got to like all of this, right? The South is a nature preserve [indiscernible], we're not going there. We made a choice. You can see here it's green. We have quite a number of areas here. We're not going there. We're being confused as going there, but it's just not us. But between Grota do Cirilo, Genipapo and Santa Clara, there's a lot to do. Here alone, I want to show you details. There's Barreiro, there's Nezinho do Chicão, and then there's one, two, three more ore bodies, which were former mines, right? So, we're looking at this string over here basically north of NDC, which is Phase 3, and we're drilling this string. So, we're going to come out with the first part of that homework up shortly, which is this portion. And then the second part of that homework, which is this. And then, there's another ore body which merges with NDC [indiscernible], which we haven't even gone there because NDC is open to the north. So, this whole thing here is quite significant. So, expect news soon. Soon, meaning, days. I mean, it's a long weekend in Brazil this week. So probably right after the long weekend, we will publish news on Phase 4, and there's going to be a lot of details here. Financially, so again, more financial detail. We closed the first green advancement of export credit, which is produced product, right, tailings produced, material produced, stockpile. This doesn't go on non-produced materials. For Santander Brazil, we just got a fraction of the line that we could take. So, it demonstrates that we're now getting credit from banks, meaning, our credit-worthiness, the operational strength, the social and environmental reputation. We became the new operational paradigm for all miners here, all miners. And for us, it's very humbling. It's incredibly humbly because when we set out to do this, we didn't think it was going to happen. We set out to do hoping this was going to happen. But some -- there were years, especially during the downturn, when we wondering whether this -- whether we're going to get there. We have the resilience of teams. We have a depth of operational technical bench, that's just remarkable, because each generation trained the next. So, each generation stands on the other shoulders. And this is kind of where we are. It's a training ground, it's a training machine. People come through Sigma leave, but then they leave the bench trained. So we built this human-capital deep bench, which makes us very, very, very proud. We really could have our pick on the best people of the marketplace because we pay our people well, we compensate them well, they receive stock. That's the magic. We run this business like a venture capital technology company. That's the secret sauce, too. We ended this second quarter with $45 million in cash and cash equivalents. We have no problem with credit. We expect to begin recognizing revenue and positive operating profit in Q3. We're going to try to give you more accurate costs by then, but I got quite a lot of data now. CapEx of Phase 1, as I said, we closed it in $126 million. And then we added -- there's another $8.1 million remaining. So, all as planned. Here is a bit of financial information. And again, to the extent that I can, is we're going to be able to do this on third quarter, but I wanted to give you guys an inkling of how much a cash machine this company is. It's an analysis of various cost assumptions, meaning various cost structure assumptions, right? Assume the price is $3,000. This is per ton, right? So, what happens here? We have basically -- if I take the DFS, operating profit, right? That's the base number. If the DFS is wrong in 50%, so this is like, 50% wrong, right? So if we're off, like, if we basically increase cost to these levels here, right, and this is kind of where we end up as far as operating profit. So it's quite significant. You can simulate this all the way to whichever number you would like, right? So, we keep on adding right -- we kept on adding simulations to this number and showing you that we're still very profitable. So here is the detail. I'm not going to spend that much time because it's too busy the slides. But to be as fast, on year, it's $355 million. And if we are off, and I kept on doing the simulation all the way down, right, you end up with $321 million, assuming price is $3000. Now, what if price is $2,000? Again, this shows how much of the cash machine this is. Margins go down. But again, the same analogy is the various costs, cash costs, I mean, which shows what we've been saying, when you're a low-cost producer, we're in the lowest cost quartile, that's what matters. And so, to really be a major, you need to be able to weather the cycle. This is a commodity. What we do isn't because of the triple zero, hence, our commercial huge success. But lithium concentrate is a commodity, and it varies. And therefore, while we're here -- I mean, when you look at this, you can see that if you are lowest cost producer of something that ebbs and flows, you're always generating quite a lot of cash. That's the message is here. We're going to give you a lot more detail on the third quarter. But again, here is the math behind this. The tailing again at 10%. There's a big market for the tailings always in the main product. So, we're doing net of all-in sustaining costs. So that's cost at port in China. And here it is. So projected annualized net-net, right? So, earnings, EBIT, basically, right, but we'll give you that detail with that denomination at the call -- at the third quarter call. But just to give you guys an inkling of how profitable this company is, and now that we're here to stride, now that we're marching towards Phases 2 and 3, we are actually going to close the gap because we have a triple zero product, right? So, we're still being priced as a developer, clearly, right, or as an early small producer, which we're not, right? So, we're going to start basically marching towards what we believe to be our true value. Look at the capabilities we got. If I put a fourth line train, it'll be at 130,000 tonnes annualized potentially, I expect, assuming all the decisions are made, so I'm caveating this. So, it just shows that there are a very few companies, very few companies in the world that can operate at these levels, right, at what we call Pilbara levels with this one block of properties. So -- and that's what we call the super major blocks, right? And we belong here. That's where we are. And there's a disconnecting value between us and the other super majors on the block. A third of the value, we don't think so. So again, we are working very hard, as you can see, towards closing that gap, hitting our stride operationally. Here, the same message shown in a different way. You see now a non-producer valued at $4.3 billion. So it just gives you an inkling of what Sigma could be valued. So non-producer, $4.3 billion, producer at our capabilities at these levels, $3.5 billion, so there's a clear value disconnect, which we're planning to close with execution. Execution, execution, that's what we do best. We're also ramping up our investor relations and marketing activities, because we also feel that that's an important part of our business. Again, everyone is super focused on the business. I went to the 30-day global roadshow last time in May -- April, May, right in when we start to produce. We're planning something similar. Again, Australia, Europe, the U.S., we're going to hit the road to communicate this to all investors, because there's only one way of understanding, it is seeing the numbers and deliveries. And this is it, Phases 2, 3 and 4 expansion highlights, we're fronting capacity. We're bringing this forth. The idea is to potentially do four line trains, 1, 2, 3, 4. We got the capacity, we got the backfill. We have this advantage now. This product is unmatched. We're going to pull all of it forward. That's what we're going to do. And possibly doing zero basic chemicals as well in partnerships. So, this is what we're looking at, and why now? Because this is when the industry needs it the most. The industry is closing the supply gap with lepidolite. It's 45 tons of carbon per ton of material; that says enough. If you folks think the energy transition will happen in lithium on the back of lepidolite, think again. So here it is, Sigma delivering on every front. Consistency and focus, this is what we do, right? So, every single milestone, dry stacking, zero chemical, zero carbon, first shipment, second shipment, ramping up, this is what we do. And I'm going to close with something that's really dear to me. This is why I'm here. This is why I've been here for six years putting up with all sorts of things as now you publicly know the importance of our legacy. We are transforming an entire sector with changing the way metals and mining things in Brazil, and it's an enormous source of humility for us. When we see some of the giants coming to us for, "What's your social program? How you have been doing with carbon?" It's really -- this is very humbling and we do this with humility, and we help everyone. So, we help with the dry stacking. We show suppliers we're here to help, basically. And here it is, what is the importance of being next year, these are voluntary credit. I didn't have to do it. This is [indiscernible]. I'll tell you the story, because I visited this project just last weekend, in the North, in the Amazon. This is a [indiscernible]. This tree is 150 years. The man that guards it is very poor, very, very poor. Did want to put a picture of him nor his house. Now without the carbon credit, a few, not one, not two, not three, a few illegal timber companies, they're called [Estancia] (ph) in the north, right, offer him millions of reals, which for them is huge profit. So, he would have been millions of dollars of profit on the street to credit, just like that. Just like that, illegally. But for a person who needs to eat, somebody needs to pay to keep these trees up. And that's the initiative we're championing in Brazil, like for the whole mining sector to embrace this forest. Because, yes, we have a great government who is focused on conserving the forest. It's focusing on tough laws and all of that. But by the time they see this, the damage is done. So, it has to be top down, bottom up, meaning the Amazon man. This is a person standing on the routes, and this is the arch of the tree, right? So that's transformation one. We're preserving -- doing our bit, preserving this forest. Transformation two. These women were in situations of domestic violence outside of the economic productive systems. Today, they are proud ambassadors in the same conference, in the annual Brazilian PDAC, called as EXPOSIBRAM, is the biggest mining conference in the country. They went in to show what we've been doing. I mean, I cannot describe in words the huge success that our projects were. And again, we're going to be adopted. This not-for-profit that is part of this group that I helped found the civil rights movement for women in Brazil, it's going to help the giants now. We're going to bring micro credit to the whole country, right? So this is it. So this is the importance of what we do. And this is why we do it. This is why we work relentlessly. And yes, to deliver to all of our investors, who have trusted us -- who have entrusted us with this, the profits and the profitability and the lithium and the volumes and this incredible competitive advantage we built on quality first, premiumize for Triple Zero, but also to change people's lives. I mean, this is what this is about. That's what makes us so special, right?
A - Ana Cabral Gardner: Yes, we're getting -- we are target for yield and recovery. The plants recover -- remember, the plant recovery -- we published something very few people do, right? I'm answering live here. Plant recovery is over 70%. It's amazing. However, we published global recovery. We have a lot of transparency in our communications, which means we're factoring for the loss in science that happens when the material gets into the DMS. So, 65% is the -- 62% to 65% are the global recoveries. Plant recovery can be up 70%, 72%. This DMS with the mineralization of Phase 1 is a machine, it's incredible, and it works beautifully, not only to recover, but to also concentrate and again, concentrate coarse crystals. So, the competitive advantage of the product isn't just environmental. It is that coarseness, 6.5 millimeters to 9.5 millimeters of this very coarse material, let me show you this. Yes, it is in book one. So of this very coarse material that we produce, right? So, essentially, we see, take this down, in a quick book one here, we'll share book. Okay, let me see here, hold on. Open when you send part one. Okay, book one. Here, yes. Can you share? Okay. Can you see this? Yes. So this material, this incredibly coarse material is actually the same, right? So it's high purity, low potassium, low sodium, coarse. So, it's a DMS that works, of course. What is the importance of this? Let me say, when you are on the filtration plant, you got to mill to [indiscernible], meaning, to microns to 150 micron powder. So, the coarse material is instinctive. It brings higher productivity at the calcination. So this is why a client uses less of our material. So, a client working downstream can be more sustainable, because he uses less lithium as raw material, less gas, less power, less everything. So it's 7 tons of this per ton of a chemical, right? It's typically 9 to 10 tons of other products per ton of chemical. So the entire combination makes a lot of sense operationally in terms of efficiency and sustainably in terms of less impact. That's why we're going to be able to do zero carbon chemical very soon. So, are you on target for yield and recovery? Yes, we are. So, yield, what is yield? Yield is the -- think about in general, 1.4 million tonnes of ore, that's kind of steady state. We delivered 270,000 tonnes of material, right? So, when you think about this and then you think about these ratios, that's kind of how we think yield instinctively, right? So, we can push up and down depending on the grade of the material. We'll try to keep it steady, but we're very much on target, right? So I answered live. We cannot disclose the name of the company. We had one shipment to Yahua, who's been our environmental partner and we're incredibly proud of partnering up with Yahua as environmental partner, meaning, they have partnered with us to purchase three years' worth of these tailings on a six-month revolver. So every six months, either them or us can change this. But they were the first company. And I understand the supply, quite a lot of the large electric vehicle makers in the world, right? So, they've been buying this beautiful material over here. And they actually -- I mean, they should get themselves carbon credit for doing what they're doing. They upcycle this. In other words, they take waste and they make lithium. So it's incredible. It's a bit like making shirts with plastic bottles, right? It was going to go to waste. It was going to be in a tailing dam and Yahua is actually upcycling it. So, we are planning to develop more of these partnerships. But Yahua, was commendable. It's a state-owned company in China, commendable for its vision of recycling material, right, buying this material and upcycling, meaning making more valuable materials out of our byproducts, right? So it's magic. It's environmental magic, right? Carbon footprint, yes, we did measure carbon footprint with [indiscernible]. And then we were the pioneers, [Alejandro] (ph), on that. No one had done it, life cycle analysis, when we did it. It was back in 2018, 2019, when it was not fashionable. And I actually earned a nickname at the time for doing that, of VP CEO. I think today, everyone recognizes the importance and the whole industry has moved on that direction. What we are planning to do now, I mean, as you know, 59,000 tonnes times 13 is a lot of carbon. We have a huge task like the airlines do, which means I have here, I mean, 590,000 tons plus 700,000 tons of carbon I could pull literally, right? What we want to do -- now that we reached steady state operationally, we want to calculate our LCA operationally, which it probably will be better, because we were not planning to sell the tailings. We were not letting to do quite a lot of what we ended up doing. So, we're going to publish our life cycle analysis operationally. That's the plan here. So, at what spodumene price it is no longer profitable attractive to sell tailings? Well, I'll tell you a story, [it's Joe] (ph), right? AMG in Brazil can actually take up on this conversation. During the down cycle, they were selling to the ceramic industry, their tailing and they were getting between $100 and $200 per tonne. So it just shows and that's, again, to your point, no longer for the lithium. That's for the quartz. Because there's quartz of enormous quality here and the ceramic flooring, as you know, we sell the premium one that you're all putting in your homes, it looks like wood, it's about 150 -- it's about $30 a square meter. That thing is really expensive. So those guys need the quartz. And so in the down cycle, that goes for quartz, basically. And it actually helps, I mean, at one point, our peers, the sustainable peers like AMG were actually evening out of the tailings. The tailings were a valuable source of income. So there's a base bid, right here in Brazil. Five of the top global premium ceramic floor producers are here in this country. Right now we sell for the lithium, but ceramic industry is right here. So we answered that. So, the price of the second shipment? It's the same kind of metric, is a value grab on hydroxide. So, we are like at 9% of hydroxide. So it's been incredible that we've been able to achieve this value grab. Obviously, I don't have a crystal ball on hydroxide prices. So, we float with the market. What we do, we grab value. We know our percentage grab out of the downstream. But we float with the whole industry, and that's a key thing. So, good question. Difference in underground projects? Well, it's all the difference in the world. Again, an underground mine uses fresh water. It needs to pump fresh water out and it cannibalizes the fresh water off that you can basically drink, right? So, we are using open pit mine of profitability also. So, you have essentially a much more profitable operation in terms of cost to mine when you run an open pit, easy to mine, minus a pan, basically, like ours. We have just done resources and reserves for open pit portions of our deposits. There's underground potential, but we just don't go there. Again, especially in regions like ours, which are semi areas where water is at a premium, we don't want to be seen by the community as going after their water. So, we use a sewage-grade water from the Jequitinhonha. We stay open pit and that's what we believe in, and that's what we do. And actually was, I mean, when there's fresh water in the middle of our pits, like in Phase 1, we actually preserve it. So, we foresake ore on behalf of freshwater. Answered live. So, let me see. Is consolidation with other projects in the region something Sigma would consider? No. Absolutely not. Why not? Because we believe in developing the downstream in Brazil, and we are not going to be a monopoly. So, we believe in projects, they are serious projects, who don't do environmental damage. It's important that all of you folks ask about environmental assets, where the area is? Is this an environmental area? Is this allowed? Are these people drilling allowed areas? We believe that more Sigmas have to exist. The world needs -- someone told me, 54 Sigmas we're hoping there will be many Sigmas here, 3, 4, I mean, there are folks here are doing work. So -- but be Sigma is not just to drill, drill, drill, do a lot of damage, save CapEx at the expense of the environment. That's not who we are. Our success is because we are dear to our ethos, we are dear to our purpose, we stay true to what we believe in. And I think that's key here. I mean, to be Sigma is more than just being our neighbor. And we want to make it very clear, because there are some neighbors here making a real environmental mess. And we end up getting the blame and we've been taking the blame quietly, steadfastly. In [indiscernible] as we say in Brazil. But I think you folks should do due diligence. But we want more Sigmas here. Why? Downstream. Downstream is coming to Brazil fast and furious. The midstream of the supply chain can be built and will be built here sustainably, zero, again, zero tailings, zero carbon, the same thing. We're building a house by the foundation. When others were talking about downstream back when it was down cycle just for the sake of it, we didn't say anything, because we're building our house, foundation by foundation, to scale. We're going to be at a scale of probably, expectedly, 1 million tons which we end up with four lines. And at that point, we can carve out a bit for our downstream business. And do just a basic chemistry. We're not going to have the audacity of doing something China does better than anyone, or the United States does better than anyone with Albemarle, Livent, Ganfeng, Tianqi, all the leaders of the industry or Yahua, we don't have that audacity. These guys do best. We are going to supply basic chemicals to them, right? We're going to supply Triple Zero technical-grade carbonate or lithium sulfate so that we enable potentially zero carbon chemicals at the end. So, we are humble. We are intellectually honest about what we can do best. And we can be best in the world and what we don't have the specialty to do. It is a different industry. Specialty chemistry is a different industry. So where do we stop, in basic chemistry? Calcination, lithification, that's about it, right? So where are we going with this? So I think we're good, guys. So essentially, we answered quite a number of questions. We're running out of time. We have a very special guest today here on site that I'm also hosting. You can always be in touch via our IR, we can give you all the details, they're quite open. I really, really want to thank you for your time, for listening to us and for your trust, for your trust. I mean the trust that we would get to this moment, right? We're just accelerating the plant, delivering the material and really changing an entire sector around us and globally as well, which fills us with humility and pride. We have a huge sense of responsibility. I mean we're going to keep on doing it. Keep on doing it the best that we can. And we all work relentlessly, as I said, I'm on site today. I was in the Amazon on the weekend. We're really working as hard as we can, and we are executing to the team as planned, as promised. So thank you very, very much.